Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Kraft Heinz Company Fourth Quarter Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ prepared remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's conference call is being recorded. I would now like to turn the conference over to your host, Mr. Chris Jakubik. Sir, you may begin.
Chris Jakubik: Thank you, and hello, everyone. Thank you for joining our Q&A session today. As you know, during our remarks today, we will make some forward-looking statements that are based on how we see things today. Actual results may differ due to risks and uncertainties, and these are discussed in our press release and our filings with the SEC. We will also discuss some non-GAAP financial measures today during the call, and these non-GAAP financial measures should not be considered a replacement for and should be read together with GAAP results. And you can find the GAAP to non-GAAP reconciliations within our earnings release. Before we begin, I do want to highlight that we will provide greater details on our 2021 initiatives during our presentation at the CAGNY conference this coming Tuesday. So today's session will be most productive if you limit yourself to one question and focus your questions on our results and the announcements that we have made today. With that, I'll hand it back to the operator, and we can start the Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Andrew Lazar of Barclays. Your line is open.
Andrew Lazar: Good morning, everybody.
Paulo Basilio: Good morning, Andrew.
Miguel Patricio: Good morning.
Andrew Lazar: Hi there. So I guess for my question, I'd like to explore a bit your expectations for full-year 2021, really in terms of your planning stance for demand. I guess some companies have been more aggressive in terms of their expectations around return to normalization and the impact on consumption, others may be somewhat more conservative. So I'm just trying to get a sense of how KHC is thinking about this in its guidance or what end of the spectrum the company is on in thinking about this and how conservative or not your planning stance may be for 2021? Thank you.
Miguel Patricio: Hi, Andrew, this is Miguel speaking. Well, we are looking at 2021 in a conservative way. We - but I have to say that we saw very strong consumption gains in January, and February is coming good as well. And if this persists at these types - at this level, we may have an upside in our results. But I think that with the environment so volatile, we better continue taking a quarter-by-quarter approach, which was the outlook that we gave you, and really concentrating our minds and our efforts on our transformation through our operating model. Paulo, I don't know if you have anything to add, but from my side...
Paulo Basilio: No. That's it, Miguel. I think also it's worthy to comment that we are - in our outlook, we are including the view that we have for inflation. And also, we are not considering the two divestitures that we've announced.
Andrew Lazar: Great. Thank you very much.
Miguel Patricio: Thank you.
Operator: Thank you. Our next question comes from Chris Growe of Stifel. Your line is open. 
Chris Growe: Hi, good morning.
Miguel Patricio: Good morning.
Chris Growe: Hi. I just had a question, if I could. Have you defined the amount of inflation you expect for the year and then how you hope to overcome that? I suspect that’s through a combination of pricing and promotional efficiencies. But I want to get a better sense of like the magnitude of the inflation. And I wondered if you could speak to that, excluding Planters and Cheese. I know those were kind of pass-along commodity-type categories, but just trying to think about the ongoing portfolio and the effect on the business overall this year?
Paulo Basilio: Sure. Chris, this is Paulo here. So, we are seeing the same inflation. We're also seeing the inflation that you're seeing, and coming from non-commodities - non-key commodities, ingredients, especially packaging in transportation in the U.S. And we think that the level and the type of inflation that we are seeing, it's manageable, and it's in our outlook, as I mentioned. And we have two reasons that - behind that. The first one that, we are very confident on the supply chain efficiency programs that we have, that we'll expect to unlock savings across our supply chain. And the second is on our revenue management initiatives across the globe, that in combination with the innovation, renovation market investments that we're doing can help us with pricing, if we need. And as I said, we have incorporated this inflation in our outlooks today. I don't know if Carlos want to comment something on top of that.
Carlos Abrams-Rivera: No. I think to reiterate your point, Paulo, that we feel that it's manageable. And I think that we are taking the appropriate revenue management initiatives to make sure that we can handle those things, as they come. Thank you.
Chris Growe: Just to be clear on that, is that mostly U.S.-based inflation? As I think about freight, in particular, it’s more of a U.S. issue? Or is there kind of a wider rate of inflation across the portfolio? Thank you.
Paulo Basilio : Yes. When you think about the commodities - the non-key commodities, ingredients and packaging across the globe, and think about the freight, the transportation is more focus in the U.S. And one thing also that you've mentioned, when you think about the key commodities, the big four commodities that we have, we are not really seeing a lot of year-over-year inflation through the year, okay, when you add all of them. So we were really talking about the non-key, non-big four commodities and packaging and transportation in the U.S.
Chris Growe: Thank you.
Miguel Patricio: Welcome.
Operator: Thank you. Our next question comes from Ken Goldman of JPMorgan. Your line is open.
Ken Goldman: Hi, good morning. Just to stay on the subject of cost and pricing. A few years ago, some manufacturers tried to pass through some list prices because of higher transportation costs. I think some of their customers at that time, on the retail side, push back saying, "Look, we'll give you some pricing when your ingredients go up." We've done that in the past, but kind of trucking is you're on your own. I would imagine that this time around, it's a little bit different. I just kind of wanted to get a sense for, given your higher costs in packaging, higher transportation and given the lack of elasticity, among consumers right now, how reluctant are some of your customers to allow you to take some pricing, whether it's on the list side or on fewer promo? I just wanted to get a sense for your relationship with them? And how much pushback you're getting on any kind of price increases you're trying to push through?
Carlos Abrams-Rivera: Let me - I'll take that one. Just to give you kind of a view in terms of the U.S. and what we're seeing with our customers. First, I would say is, well, we see - let me start with the consumer. Our consumer right now, as we have shifted towards being very much focused on understanding what they're going through and so forth. I think they're certainly showing quite an amount of resiliency through this process that we're going through. And I think for us, our focus is, how do we make sure we drive the renovation of our portfolio to make sure that we can continue to drive the right value for us as for the consumer. Now we're balancing that, too, with making sure that we have the right revenue management initiatives. And when I say that, I say, using the full availability of our tools in our toolbox to be able to kind of handle the different pressures that maybe coming at us because of inflation. So, the way I think about it is, our focus is driving that better value to consumers by making sure we are improving our portfolio, making sure we continue to invest behind the marketing and improving the quality of our media, and making sure that we are seeing how that actually translated in us driving our improvement in shares throughout, like we did in 2020. So at this point, I would say, these are things that we can manage. And we don't see that as a major derailer as we go forward.
Operator: Thank you.
Carlos Abrams-Rivera: Thanks for the question.
Operator: Our next question comes from Bryan Spillane of Bank of America. Your line is open.
Bryan Spillane: Hey, good morning. So, I guess, my question is just related to the divestitures. And maybe, Paulo, could you give us a sense of - I know we have a sense now of what the deleveraging impact will be. But could you give us a sense of maybe what the dilution would be to EBITDA or to earnings? And I guess trying to get underneath, not just EBITDA going out the door, but maybe the scope of stranded overhead, or is, there any other meaningful cost that we should be thinking about, as we're sort of trying to look at the model ex divestitures?
Paulo Basilio: Sure. No. So when you look at this business, it's a business that has an average margin that is lower than the average - that has a margin that is lower than the average margin of the company. And we are really expecting minimal dilution from these divestitures, okay? And also - we are also working internally here from now until we close to try to even offset that. So I think what I could tell you today is exactly that, that it's a business with a margin below the average of the company and expecting minimal dilution. And I think we have time even for this minimal dilution to work internally to try to offset it.
Bryan Spillane: Okay. And that's true for the cheese business as well? So when you look at both divestitures, we shouldn't expect a lot of earnings dilution from both of them?
Paulo Basilio: When you look about the cheese divestitures, as I mentioned before, we were expecting around a 5% dilution. And - but again, the same way for these divestitures, we are also working now with this two business out of the company to limit this other - the dilution.
Bryan Spillane: Okay, great. Thank you.
Operator: Thank you. Our next question comes from Jason English of Goldman Sachs. Your line is open.
Jason English: Hey, good morning, folks. Thanks for sneaking me in. I appreciate it. I guess, I kind of want to come back to a similar question, but it's all about trying to determine where you're going to land on EBITDA for the year. Can you put a finer point on the comment that you made in your press release that you expect EBITDA to come in ahead of your strategic plan? What does it imply? Like where would your strategic plan place you? How much upside do you see? And back to Spillane's question, how much EBITDA is leaving with Planters and cheese, please? Thank you.
Paulo Basilio: So it's Paulo, again. So listen, we are not giving point estimations for our full-year 2021 EBITDA. But what we are conveying here is that we - as Miguel mentioned, we had very good start for 2021. I think we gave a good clarity on our Investor Day about the curve that we had for our EBITDA through our strat plan. And again, we are seeing an upside on that. And this upside is coming from - not only from at-home consumption that we are seeing coming from this COVID situations, but also from better performance that we have in the business - in many areas of the business, including supply chain. So that is how we are seeing that.  And again, of course, we're going to be lapping at a very strong 2020 performance, but we are very confident and how we are starting the year and the potential upside that we have. And we're very happy that we are seeing a stronger beginning of the year and a stronger potential performance for us in 2021. About the impact from divestitures, it's pretty much what I was mentioning the question before about, we expect pretty much from the Planters business a minimal dilution, and we are working internally to offsetting even this dilution, this is more dilution that we can see now.
Operator: Thank you. Our next question comes from David Palmer from Evercore ISI. Your line is open.
David Palmer: Hi, good morning. Just wanted to follow-up on the cost picture, productivity savings and other things that might impact 2021 versus 2020. It sounded like you said that commodity costs would be fairly benign. But perhaps you can dig into that versus freight and logistics, where we've heard about some inflation and how that might net across against your productivity plans? Thanks.
Miguel Patricio: Paulo, you want to start on that one?
Paulo Basilio: Sorry. Can you repeat the question? You cut here.
David Palmer: Sure. A question on some of the gives and takes with regard to your margins and EBITDA for 2021.
Paulo Basilio: Okay.
David Palmer: You mentioned commodity costs were fairly benign. But I'm wondering if maybe you can put some expectations or quantify that a little bit more about your commodity outlook and also talk about freight and logistics. We've heard a good bit of inflation is out there on the shipping side. If you could maybe break that out or speak to that net of productivity plans for this year? Thanks.
Paulo Basilio: Yes. As – yes, now that's clear. We are seeing the inflation as I was mentioning before, we are seeing the inflation. When you separate this, we see inflation coming from the same type of inflation that you're seeing. It's a broad inflation from non-key commodities and also packaging. And we also see inflation coming on the transportation in the U.S., okay? On the big four commodities that we have, we are not seeing any of inflation, okay? So it's more stable. And as I was mentioning, the type of inflation that we're seeing and the level that we are seeing, we believe is manageable through not only the supply chain initiatives that we have, but also with the revenue management initiatives that we were describing, Carlos was mentioning in a few questions ago. But again, we are seeing the inflation. We believe it's manageable and it's embedded in our outlook.
David Palmer: Thanks.
Paulo Basilio: Welcome.
Operator: Our next question comes from Alexia Howard of Bernstein. Your line is open.
Alexia Howard: So you talked about the Taste Elevation platform doing very well, and you've got slide 7 to demonstrate that. Can you talk explicitly about exactly which products and which geographies are working best there and whether you expect that momentum to continue?
Miguel Patricio: Well, actually, we are doing pretty well on Taste Elevation across the board, and there's not one specific country. Of course, that - since U.S. is so critical in our portfolio, U.S. is a big part of this growth. But I would mention Canada, U.K., Australia but even the emerging countries like Brazil, Russia, Middle-East we are doing very well in Taste Elevation. We are having record shares with our brand Heinz with ketchup and sauces everywhere in the world. But it's not only Heinz. We have line parents. We have Heinz Mayo. We have - basically, our portfolio - the entire portfolio on Taste Elevation doing very, very well, both growing volume and share.
Alexia Howard: Do you expect that momentum to continue even as the pandemic eases?
Miguel Patricio: I do. And I think that we have a pretty strong innovation plan ahead that will strengthen that performance. I think we have great momentum, and that will continue.
Alexia Howard: Great. Thanks very much.
Paulo Basilio: Just to build Miguel's point, I think you're going to hear more about it when we go through our CAGNY discussions. But - because I think that this - our Taste Elevation has proven to be an advantaged part of our business, that will be something that we will continue to lever as we go forward. Thank you.
Alexia Howard: Great. Thank you, all.
Miguel Patricio: And then just continue building on that. This is our true global platform, and we are benefiting from experiences and tests that we are doing in countries and leveraging and scaling it up in other countries much faster than we did in the past. We are working much better as a team.
Operator: Our next question comes from Michael Lavery of Piper Sandler. Your line is open.
Michael Lavery: You noted that your marketing spend was up 11% last year. Does that get you to where you think is about the right level? Or should we expect more investments there? And when you say, further prioritization efforts are underway, is that a reallocation of spending? Or does that mean just giving more money to the priority initiatives or a bit of both?
Miguel Patricio: So we - in our strategic review, we talked about increasing 30% marketing in five years. So, last year we increased more than what would be the CAGR for five years, of course. This year, we are seeing great opportunities for us, on efficiencies in marketing. We are going - we are buying media in a much better way. We have a new contract with great savings on media. We are improving our creative and content. And really sweating the assets, and leveraging a better ROI. So I think that, things are in accordance to plan in marketing. And we are going to get better every year. And we are very excited with that. Carlos, I don't know if there's anything you want to add, but...
Carlos Abrams-Rivera: No, you covered it well. Thanks, Miguel.
Operator: [Operator Instructions] Our next question comes from Jonathan Feeney of Consumer Edge. Your line is open.
Jonathan Feeney: Thanks very much for the question. What - I look at the Natural Cheese divestiture versus Planters, certainly some similarities around the challenges in differentiating the customer, but there's also some important differences. And I would love to know, what's the bright line within Planters? You listed some things, that make sense to make, but you have - where you decided it was maybe divest - something that wasn't a problem not worth trying to solve, relative to many other brands where you are having success, rethinking, reframing, driving the brand to success where maybe there hasn't been in the past. Just what were the attributes that really put you over the line, that this is something that's better in someone else's hands?
Miguel Patricio: Look, Planters is a very iconic, very strong brand. So this is not something that we took lightly. But to improve our portfolio, we must focus on areas where we see the greatest competitive advantage, the greatest potential and returns. And when I - we look at the Planters, Planters is one of the brands that is most affected by private label, in our portfolio. It's also, of course, affected as a commodity. And so when we looked at that, in order to have more flexibility towards the future on building a portfolio, I think that we made that choice. And we are very happy with that.
Operator: Our next question comes from Steve Powers of Deutsche. Your line is open.
Steve Powers: So I guess, two follow-ups on the Planters divestment, if I could. First is just the 15 times EBITDA multiple that you articulated on slide 22 of your deck today. I just want to clarify does that include overheads in the implied EBITDA base that will be stranded? I appreciate that you'll try to offset that, but just wanted to confirm. And then, strategically, I guess just to press a bit on Jonathan's question from a moment ago. Back in September, Real Food Snacking was something that you highlighted as a growth platform, and I'm assuming it still is. Planters, was part of that. And so, I appreciate and understand the rationale that you're articulating today around why Planters might not fit as well going forward, especially at the deal price that you've announced today. But what was - was there a strategic pivot? Was there something that happened between September and today aside from an offer coming in that changed your perspective on Planters? Because again, it was positioned as part of that growth platform five, six months ago. Thank you.
Paulo Basilio: Okay. So let me get the first one here and then ask Carlos to take the second part of your question. So yes, when you look at the multiple that we disclosed that is like 15 times 2020 and 17 times 2019, it includes some small allocation of stranded costs, a small part of that. That - it includes in both numbers, okay, in the 17 times '19 and the 15 times 2020. I'm going to ask Carlos to get the second part of your question about the platform.
Carlos Abrams-Rivera: Yes. Thank you. And you're right. The idea of us focusing Real Food Snacking is something that we laid out in September, and we continue to be very much focused on driving that as part of our growth platform. And that - just want to be clear, that has not changed. I think today, you saw in the press release that we highlighted, there's still two specific areas within Real Food Snacking that we believe we have huge amount of advantages, and we're going to continue to drive those as we go forward.  Specifically, we think about real fuel for kids, where lunch both is a cornerstone of that particular area and segment as well as real meal alternative where we think about adult opportunities to substitute meals, things like what we see in areas like P3, for example.  So when I look at the entire strategy, I think it's for us, we continue to stay focused on Real Food Snacking. The transaction today is actually only going to help us add additional fuel to support the strategy that we laid out in September. Thanks for the question.
Operator: Our next question comes from Jenna Giannelli of Goldman Sachs. Your line is open.
Jenna Giannelli : Thank you so much for taking the question. In your prepared comments, you said that IG was important to you, but obviously, without sacrificing the speed of the transformation. I'm curious in your mind where the business and leverage needs to be in order to get to IG? And in your mind, what are the primary benefits of achieving that rating? Thank you.
Paulo Basilio: Let me take this one. Listen, we believe investment grade, as I said, is important for the company. As we were mentioning also, we closed the year at 3.7 times. We want to be consistently before below 4 times net leverage in the organization. And this is - and we believe we are on track to get now to stay there - to stay - to get them stay below 4 times, even without the two divestitures that we've announced, okay?  The proceeds of these two additional divestitures would give us additional 0.5 turn of deleverage. And this would give us flexibility and I think that is important, flexibility to accelerate our strategy. And this acceleration would kind of like organically, inorganically with the initiatives that we are forming here. And again, that is the plan that we have today. We want to keep the leverage below four times, and we are on track to be there. I think the proceeds from the divestitures are going to give us additional flexibility to accelerate our strategy. And again, we are very comfortable with the path that we have in terms of deleveraging with our credit position. So, we are feeling very good on the capital structure and credit side.
Operator: At this time, I'd like to turn the call back over to Miguel Patricio for any closing remarks.
Miguel Patricio: Okay. Well, I wanted to thank you all for being with us here. I just wanted to finish and say that we are - I couldn't be more optimistic and positive about the momentum that we have in the company right now. We are progressing fast in this transformation journey that we are. We have today a very different company that we had 12 months ago. We have a much better team. We have a far better employee morale and engagement despite the fact that we've been all working from home. We have the priorities in terms of strategy and geographies very well defined, so we have a north. We talked about efficiencies in the supply area, and we brought them, we executed them, despite the fact that we had the best year in quality and safety in our plants. We put back in marketing $100 million in 2020. And we are starting the year strong. Jan and Feb are strong months for us. We have new households with - getting better in market share every quarter. We have a very strong renovation and innovation that we are going to share with you better at CAGNY. Investment levels are ramping up. And from a financial standpoint, this transformation is well underway. We are on track to remain below four times leverage. The 2021 financials will be ahead of our strategic plan. And the divestures that we just announced will accelerate deleveraging, increasing flexibility for accretive investment. So we - one year ago, we had a lot of hopes and plans. I would say we are ahead of where we thought we could be. Thank you very much. Thank you for your time.
Operator: Ladies and gentlemen, this does conclude today's conference. Thank you all participating. You may all disconnect. Have a great day.